Operator: Dear, ladies and gentlemen, welcome to the Q3 Report Conference Call of Evotec AG. At our customer’s request, this conference will be recorded. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. (Operator instructions) I now hand you over to Werner Lanthaler, CEO; and Colin Bond, CFO who will lead you through this conference. Gentlemen, the floor is yours.
Werner Lanthaler: Welcome from Hamburg, this is Evotec management team on our nine months 2014 interim report. When you work in a biotech company, you often see a lot of light but you’ll sometimes also see true shadows of our industry. I think it’s fair to start by saying that during the year of 2014 we have seen a lot of good events of the company but Q3 was clearly also an event where we have to say that not all the things that we wanted to go right went the right direction, and we’ve also seen one clear shadow of this industry that we have to highlight in this report, namely, the situation around Diapep277. But let me step back first. Overall, it’s my big pleasure to report that the company is in a strong situation. When we look at our operational performance, the company is doing very well. When we look at our EBITDA situation, we have a positive EBITDA to report. And overall, we see a strong cash position which makes us strategically very well positioned for the challenges to come. When we look at our financials, our Group revenues amounted to €58.9 million which is slightly below 2013 but this excludes basically milestones which we had in 2013 in our books which are not in our books in 2014 so far. Overall, we see a strong growth above 5% on our base [ph] business. Our positive adjusted EBITDA of €0.3 million for the Group showed that Evotec execute, deliver and can compensate for our future investment that we carry at this stage in Evotec Innovate. We have impaired all of Diapep277 because it’s unlikely that we see a product royalty ever coming from this project at this stage. Having said that, we have, as already pointed out, a very strong liquidity situation despite all acquisitions that we have already made. We see a more than €90 million cash position within Evotec. Let me highlight a few things within Evotec Execute and Evotec Innovate to start with. After period close, we expanded protein production situation that we have initiated with a major U.S. pharma company in the United States which makes our new facility there really productive. We see that our multi-targeted lines with Bayer have started to deliver its initial milestones and we hope that there is more to come soon out of this. And you see that especially with foundation, who work within very targeted indication areas, we have established a very strong relationship and are the product [ph] choice, for example, for The Chain Foundation with Malaria Venture Fund [ph] that you see working with us together. And let me especially highlight our newly extended more than three-year contract also going forward now with the CHDI to fight Huntington’s disease. When it comes to our Innovate business, despite the shadow that has to be highlighted of Diapep277, I think it’s fair to say that we are right on strategy to build a strategic pharma pipeline where we work with top addresses in the industry together. Here, our Phase IIb in Alzheimer’s is according to plan fully recruited and built the base [ph] final results of this major trial in the first half of 2015. We are also happy to report that Jansen is continuing to work very aspirational on our EVT100 series in the field of depression. And things that we don’t often highlight but where we should always be aware of the two of our projects are running at this stage in successful clinical developments in China, namely, our EVT201 project and our EVT401 project which are partnered with JingXin Pharma and with CONBA Pharma. When it comes to J&J already mentioned before in Jansen, we also would like to highlight with our TargetAD collaboration, is delivering better than we ever thought and here a multi-series of targets is progressing very nicely forward. These are just a few highlights. Let me now stress within this presentation that you hopefully have been able to download from the Internet that we continue to execute on our innovation strategy. When you go to Page #6 of this presentation, let me highlight again that we have a focused discovery company which has a clearly defined end-product where we are the experts to produce highly capital efficient PDC, pre-clinical development candidates. This is what the industry really needs to find new innovative medicines out there [ph]. This strategy is perceived as leading in the industry and therefore we have built a quite aggressive business model into two segments of this industry which you see on Page #7. Segment number one is to be the leading provider for fee for service work at the highest quality offerings from western quality providers. And direction number two is to basically build the bridge from academia to pharma with our Cure X/Target X business model. Ultimately, both directions should lead to build a strategic pharma pipeline where we always try to own part of the upside of products that potentially come out of this portfolio that we are generating in the format of milestones and royalty. When it comes to our Evotec Execute business, let me first of all thank Mario for the excellent work that his team are doing there and at the same time let me stress that in the Evotec Execute segment, we saw a very strong operational performance despite the fact that we so far this year have a very low milestone income. And let me highlight again that I think the extension with the CHDI Foundation over the next years – just to give a mention, we are employing now more than 50 scientists that exclusively work on this project over the next three years gives us a very, very strong foundation for our platforms that are built to deliver highest quality in major CNF diseases and other disease areas. On Page 9, you see that many of our initial targets for 2014 can already be ticked off in our Execute segment. Let me highlight here one aspect which I think is strategically of high importance, that we see that with many U.S. customers, we have been quite successful in the last six months to build new long-term alliances with big companies, mid-sized companies and especially also with smaller biotech companies where we are the platform that ultimately helps to accelerate start-up situations especially out of the coast in the United States. So there is a trend that we can monitor in which we have invested in heavily in the last year that we want to build the European to the U.S. bridge when it comes to high-quality discovery work that has to be delivered. And that’s something which we also see already continuing very strongly into the year 2015. When it comes to our Evotec Innovate business, let me stress that the idea of building a systematic unbiased and comprehensive pipeline in major disease areas is absolutely spot-on strategy; having said that, so far in this year we have not been as successful as we probably wanted to be in rolling over early-stage [ph] project to pharma. This should be not misinterpreted that there is not a lot of progress made. It should rather be seen that we try to get to higher value inflection point with some of the projects which you also see on our increased R&D spending. One project to highlight here is the TargetAD situation with Johnson & Johnson Innovation where we have produced significant target families that are progressed forward within this alliance where we are very proud to deliver excellent work to our partners. When it comes to the visualization of our current pipeline, you should appreciate that we are prudent by taking off Diapep as a product there because as already stressed, we think it’s unlikely that this project will hit the market in a foreseen timeframe. And this is only due to the fact that Andromeda Biotech as was reported by Hyperion obviously has frauded [ph] the data within the first Phase III of this project, and that’s a situation which is of course disgusting in this industry and we had to report this at the beginning of Q3. And nevertheless, let me stress as we had outlined on Page #13 of this presentation that Evotec has never any involvement in the clinical development of Diapep277 and Evotec has outlined in the year 2007 with its pre-company development [ph] the project to Andromeda Biotech. So since 2007, Evotec has never owned any clinical development process of Diapep277. So therefore, we are not happy about the situation but we should also come to the right dimension of the problem and the dimension of this problem for us is that we have an open frame [ph] of 3.4 million against Andromeda where we will take all legal steps to secure shareholder value for Evotec if necessary and we unfortunate – will most likely lose the royalty rate which was attached to this product. When it comes to our strategic focus in diabetic complications, you should appreciate Page #12 where there is a portfolio of multiple projects ongoing at this stage especially in earlier stages where we do highly innovative biology indices of beta cell generation and other areas of high medical need for diabetes. Page #14 of this presentation should show you our progress in our neurology pipeline. As already mentioned, TargetAD and the CHDI are to be highlighted here but let me also stress that we are very happy about the progress that Jansen is doing. We are also not affected on any situation that was around Shire and Abbott. Our project with Shire is of course moving forward. Let me also stress here that we think that what we are doing in the field of Alzheimer’s with Roche, and here let me highlight again our Phase IIb is absolutely cutting-edge and is at this stage one of the most important small molecule trials in Alzheimer’s disease out there in the whole industry. Page #15 should highlight that here our partner Roche has concluded all recruitment, has enlarged the trials in many directions and is planning for final results of this trial in early 2015 where we hope to report a breakthrough in mild-to-moderate Alzheimer’s. When it comes to our pain and inflammation portfolio, let me highlight that we have seen the first progress within our Bayer alliance. And let me highlight here another situation that this is an alliance which is a multi-targeted alliance which was entered about two-and-a-half years ago where you should always appreciate in order to get access to highly profitable milestones and highly profitable royalty rates, we in the beginning of these alliances take the burden of sometimes going below our cost rate and also having an operational loss. So we only make money if we achieve milestones. So here we are very confident that the first sign of the milestones which was happening there should be the start of more to come which is by the way – and Colin will report about this and offer [ph] importance to meet our guidance for 2014. On the pain portfolio you should always appreciate that if you work together with Bayer, Boehringer and Novartis, UCB and Convergence which was a spinoff of GSK, it’s very fair to say that we are networked into the leaders of this industry in this very important medical unmet field. When it comes to Page 17 of this presentation, you see that we are building a very strong focus on oncology into the future. We have initiated oncology as a focus area about four years ago together with our partner Boehringer Ingelheim. And what we have built here is now, for the first time, have relatively brought visible portfolio in oncology where we can already announce that we plan to do significantly more in the next quarters to come because the platforms are there, the know how has been built up in Evotec and as you all know the research and discovery money which is spent within the industry to build novel oncology medications is at this stage about a third of the total industry spend in discovery. So here, I think, we are following a very important trend by providing the best platform. Of course, also here, it has to be highlighted that working together with the Belfer Institute, Yale and Harvard is giving us access to very innovative early biology and also, for example, we got with our collaboration from APEIRON Biologics in Vienna. When it comes to Page 18 of this presentation, we want to highlight that for the field of anti-infectives, we have acquired a small company in Manchester which is on the radical growth path going forward because we see that this integration is really leading to what you wanted to see a synergies here, early biology which we did not have is now very nicely coming together with our platforms in chemistry and in development, also for anti-infective. And that’s why I think Euprotec at this stage can already be claimed as a very successful small acquisition to our platform. On Page 20 of this presentation, you see that at this stage we are running about 20 projects which can be described as trying to bridge the gap between academia and pharma. This is a long-term strategy. This is something where we best leverage our existing platforms and this is something where you will see us broadening this platform and broadening this bridge quite substantially into the year 2015 and 2016. This is the way of how novel medications will come to clinical pipelines and that our most efficient way to own and maximum part of the product upside which will come out here. In Page 21 of this presentation, you see that we are on track to deliver our innovation strategy for 2014. We still have to see that our partners are progressing forward with, at this stage, pre-clinical assets into the clinic. We are expecting two clinical entries in the next month to come. This could also be in 2015. We are not the owners of the timeline here but it’s fair to say that some of our partners are preparing for clinical entry. When it comes to the financial performance of the company, let me handover to our Chief Financial Officer, Colin Bond.
Colin Bond: Slide 23, as Werner previously mentioned, Group revenues decreased by 2% compared to the same period in the prior year to €58.9 million. This decrease was the result of significantly lower milestone contributions in the first nine months of 2014 compared to the same period of the previous year when large milestone contributions of €7.5 million were received from Boehringer Ingelheim. However, excluding milestones upfront and license, Evotec’s revenues for the first nine months of 2014 rose by 5% and were actually up 7% compared to the same period in the previous year at constant 2013 foreign exchange rates. Overall gross margin for the first nine months of 2014 decreased to 28.3% compared to 35.8% for the first nine months of 2013, clearly as a result of the aforementioned reduction in milestones. However, at 2013 exchange rates, the gross margin would have been 30.3%. In the first nine months of 2014, Evotec recorded an impairment of intangible assets in the amount of €8.7 million resulting from the announcement by Hyperion that it had terminated the further development of Diapep277. In addition, the termination of Diapep277 resulted in a fair value adjustment of €6 million as a result of the reduction in earnout liability to former DeveloGen shareholders. For the first nine months of 2014, EBITDA adjusted for changes in consideration was positive €300,000 compared to prior year of €5.9 million as a result of the lower milestones. Slide 24 shows the results for the first nine months of 2014 presented according to the Execute and Innovate segments. Consistent with our strategy, the results of the Execute segment for 2014 show strong revenues, solid margins, lower R&D investment and relatively high profitability with EBITDA adjusted for changes in contingent consideration for the first nine months of 2014 of €9.8 million despite the low level of milestones in the first nine months. Meanwhile, the results of the Innovate segment reflect the significant investments being made to drive the long-term upside of the business. EBITDA adjusted for changes in contingent consideration for the first nine months of 2014 was minus €9.5 million. Slide 25. Slide 25 presents the P&L for Q3 2014 compared to Q3 2013. Group revenues decreased to €18.8 million compared to €23.6 million in the same period of the prior year. This was primarily due to the fact that in Q3 of the prior year, a total of €6.3 million of milestones were recorded compared to just €600,000 in Q3 of 2014. Overall gross margin for Q3 of 2014 decreased to 26% compared to 46.9% in the prior year period. This decrease was mainly due to the aforementioned reduction in milestones, but also due to an increase in the provision for doubtful debts by €700,000 in respect to the outstanding receivable from Andromeda related to Diapep277. As a result of the year-on-year decrease in milestones, EBITDA adjusted for changes in contingent consideration in Q3 2014 was minus €300,000 compared to prior year of €5.4 million positive. Slide 26. On Slide 26, the left-hand box shows the three-year trend in revenues for the first nine months. As stated previously, overall reported revenues decreased by 2% to €58.9 million in the first nine months of 2014 compared to €60.3 million in the same period in 2013; and by just north 0.7% a constant 2013 exchange rates. The right-hand box shows the three-year trending gross profit. As previously mentioned, overall gross margin for the first nine months of 2014 decreased to 28.3% compared to 35.9% for the first nine months of 2013. Importantly, gross profit excluding milestones upfront and licenses for the first nine months of 2014 was 22.3% and at 2013 exchange rate it would have been 2.2% higher at 24.5%, and therefore above the prior year of 23.9%. This was an excellent achievement and it reflects the results of increased operational efficiency, higher productivity, and judicious cost control. Slide 27. On Slide 27, the left-hand box show the three-year trend in R&D expenditure. Consistent with the strategy of the company, R&D expenditure for the first nine months of 2014 increased by 23% to €9.2 million compared to €7.5 million in the same period of the prior year, with significant investments made in the Cure X and Target X initiatives. The right-hand box shows the three-year trend in SG&A expenses. SG&A expenditure for the first nine months of 2014 increased by 4% to €12.8 million compared to €12.3 million for the first nine months of 2013. This increase was planned and was mainly due to an expansion of the business development team to support the company’s future growth as well as the impact of the Bionamics and Euprotec acquisitions. Slide 28 summarizes the 2014 guidance for the company that is unchanged from published on the 25th of March 2014. Firstly, revenues are expected to achieve high single-digit growth excluding milestones upfront and licenses. Secondly, improved profitability; we expect a positive EBITDA before changes and contingent considerations at a similar level to 2013 and a result positive operating cash flow and liquidity above €90 million. But clearly, as Werner said previously, this is dependent on us achieving a number of milestones that are anticipated in the remainder of the year. Thirdly, R&D investments, we expect R&D to be in the range of €10 million to €14 million with the investments mainly in the strategic Cure X and Target X initiatives. I would now like to hand back to Werner to provide a summary.
Werner Lanthaler: Maybe if I can add one sentence to the R&D guidance. We can already guide here that we will definitely be on the upper end of what we intend to spend on Cure X and Target X initiatives because we see this helps to execute on our innovation strategy which is also the summary of our key milestones that we expect for 2014 in where you see that despite of the fact that there were some not-so-positive situations in Q3, a lot of things have been achieved and there is a lot of positive moment in the company of things that we will achieve going forward. I would like to invite you for a Q&A session now and just let me round up by one organizatorial [ph] announcement first, that going forward in 2015, our conference calls for the discussion of our quarterly reports will no longer be held in the morning of the day when we publish but that it will be held in the after of the day when we publish in order to give our American investors the chance not to always only listen to the playbacks of that but also to be live on that call and to have a better situation to interact in Q&A situations with us. Thank you for your understanding of that. With this, I would first of all thank you for following the company and also being with us when things go right and when things sometimes not go the right direction. And secondly, we look forward to all your questions now.
Operator: (Operator instructions) We have a first question from Igor Kim from Close Brothers.
Igor Kim – Close Brothers Seydler Research AG: Yes, hello everyone. I have a couple of questions. The first one is you expect a significant milestones in the last quarter of this year, so they are not considered in your outlook which there is a high single-digit growth for revenue, just would you clarify. And the second question is, are you eligible for any milestones payments from Jensen for the Phase II trial initiation in insomnia? And perhaps the last question is, given the devaluation of euro with respect to U.S. dollar, what do you expect what kind of effect it might have on your base business margin in the last quarter? So these are the three questions so far. Thank you.
Werner Lanthaler: So, question number one, yes, that’s correct. So we always guide, execute business without milestones on high single-digit growth. Second one on JingXin, that is a deal which is relatively back-loaded structured. Remember, this was a project which basically failed in western countries so we hedge to motivation someone to restart the whole development which we now see in China progressing, so we will not achieve milestones or receive milestones upon the purely clinical trials but we will achieve milestones upon Phase III trials and upon market approvals; and then a very significant royalty on this one. And on the situation that we currently see our major income in U.S. dollars, our major cost base in euros and in British pounds, I’d like to handover to Colin.
Colin Bond: Yes, Igor, obviously we’ve got about 60% of our revenues now in dollars in the first nine months of 2014. And the strengthening of the dollar is a positive impact on us. We expect in Q4 that could be up to €800,000; €900,000 positive impact on our gross margin or about 1.2 percentage points.
Igor Kim – Close Brothers Seydler Research AG: Okay, very good. And perhaps one follow up. I recently read that there was in some articles that Harvard have pioneered a new technique to grow insulin-secreting beta cells, I think, it was directed by Doug Melton, so the question is, have you been involved somehow in that and that – or does it affect your CureBeta program? Thank you.
Werner Lanthaler: So, what published by Doug was of course something that we are aware of and have been aware of for a very long time. This project is as it looks right now more targeted towards cell therapy in diabetes. So that would be a question for us if we want to, addition it [ph] to what we are doing, also invest our money into cell therapy for diabetes. I think all I can say at this stage is that we are in the best of all possible context with Doug Melton. We are working very closely on, at this stage, three projects with Doug; three other projects with other investigators from Harvard, so that’s a very fruitful and productive collaboration and I think also Harvard would see it and describe it that way. How we will ultimately go about cell therapy in diabetes is at this stage not decided.
Igor Kim – Close Brothers Seydler Research AG: Okay. Thank you.
Operator: Thank you. (Operator instructions) We have a next question from Heinz Müller, DZ Bank
Heinz Müller – DZ Bank AG: Yes, good morning. Heinz Müller speaking. I have a question. Perhaps you can give us an indication what’s the probability you’re assuming to receive the open receivable against Andromeda.
Werner Lanthaler: I think we took a very prudent step on this one first but to give you a financial answer first, probably, I’ll handover to Colin.
Colin Bond: Yes, just to put it in perspective, the total milestone that we recorded in 2012 was €3.9 million. We received €500,000 of that in cash from Andromeda and we’ve made a provision of about €1.5 million against the – including the provision that we’ve now taken in Q3 so there’s about €2 million that we still have on the balance sheet. And the reason that we’ve kept that there is that based on our legal advice and we believe that we have a strong claim in order to recover that money, so we’ve received or provided for about 50% of the total amount.
Werner Lanthaler: And just to give you a bit more color on this, as already mentioned, we have prepared all legal action to secure shareholder value for Evotec out of this unpleasant case. We are in a very good dialog with Hyperion on this one. As it seems, Hyperion is in discussion and has extended this discussion for a potential settlement of the situation with the former owners of Andromeda called Clal Biotech. Will this go fast? I doubt it. Will this be a very clear case? I also doubt it. I think the decision that we have made is that we focus on the future and not on the past. And therefore, we will do everything which is legally necessary but from a situation that we see commercially here, we have to really bring this to bed [ph] and say it goes in the dimension of €2.5 million now. That’s it and if we’ll ever get it or not, that should be decided by some court if there’s not a settlement before that.
Heinz Müller – DZ Bank AG: Okay. Thank you.
Operator: Thank you. The next question is from Thomas Schießle with Frankfurt.
Thomas Schießle – getinsight Research GmbH: Yes, hello. Good morning gentlemen. This is Thomas Schießle of Frankfurt speaking. Two questions if I may. One on a specific project, EVT070 diabetes with Boehringer Ingelheim, there might be some popping [ph] and discussion in terms of a discussion with Boehringer Ingelheim, the prospect of the project, could you give us some additional insight? And the second question is on anti-infective. You stated, Werner that you would like to increase the activities in the indication of anti-infectives, will that lead to extra investments in infrastructure and capacities especially if it comes to the extra security you have to provide if it comes to handling anti-infective agents. Thank you.
Werner Lanthaler: Thank you so much. First of all, on the anti-infective situation, the reason why we acquired Euprotec in Manchester was mainly the fact that Euprotec has a long standing and long offering into the future defined arrangement with the University of Manchester for all their animal facilities, which is – and the audience might not know this – one of the best animal facilities in Europe when it comes to anti-infective models and these are also facilities where you’re able to basically go for all species in anti-infective models. And of course, this is equipped with the safety standards that you can imagine. So therefore we, on top of getting access to the platforms of Euprotec and on top of getting access to the talent and people of Euprotec, we’ve got access to this contract which was related to Euprotec and dealers [ph] you have mentioned. So this is the situation where we don’t have to use additional Evotec CapEx for this. But where we can benefit from the investments that the British government and the European Union has made it to Manchester for this facility. On EVT770, we have at this stage a situation with Boehringer Ingelheim for this project that the project is under evaluation where it will – and that actually it sounds for me a bit defensive, we think we would not be unhappy if the project falls back to us. That’s how it’s contractually defined. Strategically, it’s unlikely that Boehringer Ingelheim will push this forward into the clinic in diabetes, but this is a target where we would be very happy to see if there wouldn’t be other priorities that we can pursue with this target going forward. The situation at this stage is under evaluation and we’ll report back in the first quarter of 2015.
Thomas Schießle – getinsight Research GmbH: Okay. And if the project will fall back, you have to write it down because my experience [ph] won’t be materialized in the future.
Werner Lanthaler: Yes, if it falls back, then clearly, technically it’s a triggering event and we will be required to update our impairment model and consider what value we keep it on our books at the end of Q4.
Thomas Schießle – getinsight Research GmbH: Okay. Will that trigger a future amount and material amount or if it’s [indiscernible]?
Werner Lanthaler: It really depends on what the evaluation model tells us and what the future use of the asset is. We think there could be quite attractive future use of the asset.
Thomas Schießle – getinsight Research GmbH: Okay. Thank you, gentlemen.
Operator: Thank you. The next question is from Mick Cooper, Edison. Hello, your line is now open.
Werner Lanthaler: Mick, where are you?
Mick Cooper – Edison Investment Research: Can you hear me now?
Werner Lanthaler: Yes.
Mick Cooper – Edison Investment Research: Sorry about that. [Indiscernible]. On second comb [ph] that you said about taking the target program X initiatives for the latest stages, later value infection points, does that mean that we should be expecting deals coming up or that it literally should – it’s not going to happen until the end of next year? And how to decide which infection point to take moving forward? And then just a quick question with EVT100. Should we expect that program to go next year? Thank you.
Werner Lanthaler: So when it comes to – I think it’s fair to say that all of our Target X and Cure X initiatives have a separate individualized lives. And with this individualized business plan, every target basically represent its own business plan, its own attractiveness in the medical field whether access in the efforts also represent a different potential deal making scenario behind the target. I think I don’t have to explain to you the overall situation there. But as a general principle, the optimal danger point that we with our platform and our resources can achieve, it’s always going to the point of PDC because that’s where we optimally use existing platforms on the [indiscernible] to come to the situation and potentially then partner a project with pharma companies, yes? So that’s the principle behind it. As you have seen in the past, we have done deals that were significantly earlier than going to PDC and of course, we will also continue to do that when we see that the commercial situation is highly attractive. For example, in the field of kidney disease, a deal with AstraZeneca where costs are taken by AstraZeneca, the targets are progressed forward. And we have a huge [indiscernible] and role to cascade as an upside there. And all costs are covered by AstraZeneca. And it would have been an effort which would have been too broad for us within our bandwidth to carry that forward. When I think about CureBeta, that was the same situation there. So I think we are not against making earlier than PDC deals, not at all, yes. But as a principle, you should understand that the thing that’s best possible value infection point could be the PDC, that’s one aspect. The second aspect, there are areas that are too large and too broad to go to multiple PDCs. Like for example, the field that we have built up in the field of nephrology with target fibrosis, target photocytes would be assumed under QNS form [ph]. So this alone would be project where all our resources would be taken up if we would QNS form to a PDC situation and therefore if you run 22 projects, you have to make decisions to partner early and partner later. We basically have the luxury that we can decide on Beta where we go forward and where we don’t go into too early partnering situations. And the other situation for us which we think is very comfortable is that if we have platforms available, no project where we go out there and potentially offer them to pharma partners is stopped. So we work on the project, can offer into partners and if the commercials are not satisfying then we just continue and take this out of our R&D budget. What you should see that we tried to be very disciplined and [indiscernible] overboard from our R&D spend because that would also be I think not prudent to say, no, no, we just spent it from our own R&D money and don’t seek market feedback on the targets that we’re working on. So I think that’s a bit the mix of the strategy. Coming to your concrete question, will you see a transaction here only in one year from now? No. You will see transactions significantly earlier than one year from now and you will see more than one transaction.
Mick Cooper – Edison Investment Research: Thank you.
Operator: Thank you. We have a further question from Thomas Schießle.
Thomas Schießle – getinsight Research GmbH: Yes, thanks. Thomas Schießle once again. Question on the U.S. market and the prospects when it comes to your Execute business. Biotech industry in the U.S. is blossoming up. The financial situation is improving. What about U.S. activities to profit from this early August improved situation in the U.S. biotech industry so far?
Werner Lanthaler: As you see in our financial trend and you will continue to see this in Q4 2014, Q1, Q2 2015 because we already have significant visibility on our order book into 2015 is that yes, we are one of the profiteers of the biotech renaissance of the U.S. East Coast especially. We also are a profiteer at this stage by I would say a trend which goes back to [indiscernible] innovation efficiency project. So when it comes to who is the high quality discovery part now for early biotechs in the U.S. and in Europe, Evotec has achieved a top place in the discovery space. And as you have also seen the consolidation wave in our industries is continuing and therefore we are very happy with this spot that we have achieved in the last three to five years within our discovery industry. So, and for number one, yes, we are profiteers of the U.S. rising [ph] environment of biotech and pharma. Second part of the answer, restructuring and strategic insecurity within pharma and R&D continues. So what is on the one hand side positively effective from biotech is still a timeline get to the [indiscernible] and a strategic insecurity within discovery of pharma. And number three, I would say we don’t see a problem and it only depends to European or U.S. situation in the same time zone when [indiscernible]. So it’s perfectly feasible to build an East Coast to Europe bridge which we are doing [indiscernible] I think for us, it is a prudent strategy to build capacity at this stage in Europe and to serve the U.S. market. What we increasingly – [Audio Gap] – do in the U.S. company and we extend our business development capacities there. You will see us also putting more scientific stuff on ground for early scouting and early I would say discovery development with our partners there. But I think we are very happy with the bridge that we built between Europe and United States at this stage and will continue to do so. We don’t need India at this stage.
Thomas Schießle – getinsight Research GmbH: And to bridge the six hours’ time different that is okay with your clients at the East Coast so far and there is not a question whether they would like to see more closer to the things you will they are – you will develop – develop or has done together.
Werner Lanthaler: First of all, it’s only five hours’ time different to the U.K., so that’s also helpful. And secondly, we really don’t see this as a big issue to our Europe capacity at this stage. And you see we are growing capacities in Hamburg, we are growing capacities in Munich, we are growing capacities in Oxford. So we wouldn’t do this if there wouldn’t be there market demand. Could we do more if we would be physically also more present in United States? Potentially. But I think again, here the bridge between European resources and the United States at this stage is a very good mix for us. And don’t underestimate, we really think that Europe should see a comeback also in the discovery space. Because in what other industries should the European Union catch up, it’s not in biotech.
Thomas Schießle – getinsight Research GmbH: Okay. And the [indiscernible] you would take us given.
Werner Lanthaler: So we really has the worst combination in the last 12 months. So we had a strong pound in a weak dollar. And we’ve had to endure like everyone in Europe a weak dollar for a considerable period of time. With the dollar now strengthening, that, as I said previously, that gives us a significant advantage. We think about €800,000 to €900,000 on our margins just in Q4 as I said and the overall impact on our 2014 margin, the full year will be about 1.2% as I said. But on a quarterly basis, Q4 margin could be up 3% to 4% as a result of the dollar strengthening now.
Thomas Schießle – getinsight Research GmbH: Thank you, gentlemen.
Operator: Thank you. The next question is from Mark Pospisilik, Kempen & Co.
Mark Pospisilik – Kempen & Co: Hello, good morning, gentlemen. Thanks. Just one question from me. On the relative profitability of the Execute and Innovate activities now and the trajectory going forward, how should we be thinking sort of next year or two? Will the loss from one more or less match the profitability from the others or will we start to see a catch up and acceleration of the Innovate as soon as next year? Thanks.
Werner Lanthaler: I think for the time being, I would assume the same levels. We are at this stage updating our Innovate strategy, which we will do until the end of the year and also then we put back at the beginning of the year. I think it’s a bit too early to give is a sign up call on that if you wouldn’t mind. We see that for optimal value creation, we have definitely started the right strategy here – what is the concrete focus area, what is the concrete number of projects, how do we exactly expand that, I think if you wouldn’t mind giving us a few weeks’ time then that would be very nice. What you should appreciate is the Execute margin that you see at this stage basically has very low milestones in there. And I think that makes us very comfortable that our base business so to say, which is unfair because it’s a highly innovative type form [ph] business that we are running here. Going forward, we should not see any significant margin [indiscernible] downwards probably we would also see better margins. And so therefore, we are very comfortable with I would say flexibility that this type form gives us and that’s what we will build into the model.
Mark Pospisilik – Kempen & Co: Great, thanks. We look forward to further updates. Thanks.
Werner Lanthaler: Thank you.
Operator: Thank you. The final question is from Igor Kim, Close Brothers.
Igor Kim – Close Brothers Seydler Research AG: Thank you for taking one follow up. Talking about the overall market environment, there was recently acquisition of Covance by LabCorp, I think they are involved in early drug discovery business. So what’s your assessment regarding the changing competitive [indiscernible] comment on this briefly. Thank you.
Werner Lanthaler: First of all, Covance is clearly involved in the drug discovery business. They have initiated to build a discovery business which is similar to ours in the chemistry space, in the assay [ph] development space, also in the early targets identification space over the last I would say five to seven years. The acquisition from LabCorp, I don’t know what was the real strategic trigger for it. It just shows you that size matter when it comes to outsourcing organizations to pharma because that’s what Medcorp basically does. It’s an outsourcing service provider to pharma in its widest scope. You also clearly have seen the acquisition of BioFocus by Charles River by the beginning of 2014. You also have seen that Chinese and Indian players has increased the pace of consolidating of the U.S. facilities together. So I think it’s something where we feel very comfortable with the position that we have achieved as the quality leader in the discovery segment. And being the quality leader in our core segment is always the right strategy to go. What happens left and right from us is a consolidation we cannot influence. But what is key to us is providing the best quality to our customers.
Igor Kim – Close Brothers Seydler Research AG: Okay. Great. Thank you.
Operator: Thank you. We have no further questions.
Werner Lanthaler: On that note, let me thank you for your very good questions and elaborate ideas that you always put out for us. We want to thank you for following Evotec and we look forward to talking to you very soon again.